Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter and Year-End 2011 Earnings -- City (sic) [CIT] Earnings Conference Call. My name is Lacey, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the presentation over to your host for today's call, Mr. Ken Brause, Director of Investor Relations. Please proceed, sir.
Kenneth A. Brause: Well, thank you, Lacey. Good morning, and just to clarify, this is the CIT Fourth Quarter and Year-End 2011 Earnings Conference Call. Our call today will be hosted by John Thain, our Chairman and CEO; and Scott Parker, our CFO. After their prepared remarks, we will have a question-and-answer session. [Operator Instructions] We'll do our best to answer as many questions as possible in the time we have this morning. Elements of this call are forward looking in nature and may involve risks, uncertainties and contingencies that may cause actual results to differ materially from those anticipated. Any forward-looking statements relate only to the time and date of this call. We disclaim any duty to update these statements based on new information, future events or otherwise. For information about risk factors relating to the business, please refer to our 2010 Form 10-K that was filed with the SEC in March 2011. Any references to non-GAAP financial measures are meant to provide meaningful insight and are reconciled with GAAP in our press release. Also, please note that we have posted an updated financial data package on our website this morning. This package has been updated for fourth quarter results and reflects the prior period revisions for the time periods presented. For more information on CIT, please visit the Investor Relations section of our website at www.cit.com. I'd now like to turn the call over to John Thain.
John A. Thain: Thank you, Ken. Good morning, everyone, and thank you for being on our call this morning. We reported a good profitable fourth quarter, and we were profitable for the full year. We originated new business volume in the quarter that was up across all 4 of our Commercial business segments. We originated $3.3 billion of new committed volume, which was up 40% sequentially. As Scott correctly predicted on earlier calls, our commercial finance and leasing assets grew for the first time this quarter. They grew about $900 million since our bankruptcy. We continue to redeem and repurchase our high-cost debt. We redeemed and repurchased $860 million in the quarter. And as you've seen from our press releases, we are in the process of repaying $2.5 billion of high-cost debt in the first quarter of 2012, and it's our objective to pay back the remaining approximately $4 billion of Series A debt over the course of 2012. Our credit metrics improved across the board. Charge-offs, nonaccruals and inflows to nonaccruals, all were lower. CIT Bank grew both on the asset side and on the liability side. Our commercial assets in CIT Bank were up about 35%. The launch of our Internet deposit was very successful. As of last Friday, so not as the year end, but as of last Friday, we had over $600 million of Internet deposits. The average rate on those deposits was about 1.1%, and the average maturity was about 1.5 years. We did, at year-end, substantially satisfy all of the written agreement items, and we're now awaiting the fed's acknowledgment of that. We ended the year with a very strong capital. Our Tier 1 capital was 8.8% with a lot of liquidity. We had $8.4 billion of cash. We also had $1.9 billion of our $2 billion revolver undrawn, and our expenses were in line with the -- with our expectations. Just briefly across our businesses. Our Corporate Finance business, we originated new committed volume of $1.2 billion. That was up 10% sequentially in over 40 transactions. On the Transportation side, we added 15 new airplanes in the quarter. We actually sold 4, so we're net up 11. And for the year, in terms of aircraft, we added 37 new aircraft and sold 11, so we're up net 26. We also added 1,600 new railcars in the quarter, and we delivered our first railcars to CIT Bank, which is the beginning of getting more of that business into the bank. We also scrapped most of our idle centerbeam cars. They show up in held for sale, but they -- we're in the process of scrapping those. And if you look at our utilization rates in railcars, if you include centerbeams, they were -- our cars were 97% utilized, and if you exclude centerbeams, they were 99.9%. We had about 100 railcars that were not being utilized. And at the end of the year, we did have one airplane that was off lease, but we now have an MOU to release that. On the Trade side, our factoring business, our factoring volume was up slightly for the quarter at $6.9 billion. And in our Vendor Finance business, we funded new business -- funded new business was up about 11% sequentially. Almost all of that business was originated in the bank. So if you look at the growth in new business volume and if you look at the credit improvement in our portfolio, it's all consistent with the view that we talked about before, which I would restate today, which is that the U.S. economy is growing. It's growing slowly, but it is growing, and we see that really across all of our business segments. So with that, I'll turn it over to Scott to give you more detail.
Scott T. Parker: Thank you, John, and good morning, everyone. We had a very good quarter, as John mentioned, from a business perspective. We have broad-based increases in new business volume. Commercial assets grew for the first time since 2009. Our funding cost continued to decline, credit quality further improved, and we continue to expand the scope of CIT Bank. However, our reported results continue to be impacted by financial items related to our strategic progress, including the ongoing cost related to accelerated debt repayments; the impact from our portfolio optimization efforts; and in the fourth quarter, tax provisions resulting from a change in our assertions regarding international earnings. Before I get into the fourth quarter results, as part of our continued review of internal controls and operating procedures, we determined that a $68 million liability should have been established for unresolved credit in our Trade business that accumulated from 2001 through early 2011. Of this amount, $66 million related to pre-emergence periods. Accordingly, we revised our 2009 results to include this liability that upon our adoption of fresh-start accounting added a corresponding amount to goodwill. To put this amount in the context, it represents approximately 0.02% of the over $300 billion of factored volume during this 10-year period. We also revised our 2010 and 2011 results for this in other immaterial and unrelated entries. The cumulative impact of the revisions is a $2 million increase to net income over the 2-year period and a $0.32 decrease in tangible book value per share. Moving on to the fourth quarter results. We reported net income of $34 million or $0.17 per share on pretax income of $80 million. Pretax income included about $150 million of costs associated with our liability restructuring actions. Excluding these costs and net FSA accretion benefits, pretax earnings were $140 million, up from $91 million in the third quarter and a loss of $160 million a year ago. Let me add some color to these figures, which are on Page 18 of the press release. FSA accretion, excluding the impact of debt prepayments, was $90 million, up slightly from the third quarter, but otherwise trending down as the remaining accretable discount on assets declines. Next, the FSA cost from accelerated debt reductions was $152 million and related to 3 things: first, the $500 million student-lending securitization we redeemed in December; the $460 million of Series A debt we prepaid in October; and the roughly $400 million of Series A debt we repurchased during the quarter. Prepayment penalties, which also flow-through interest expense, were $9 million, reflecting the 2% fee on the $460 million of Series A debt we prepaid. These costs were partially offset by a $12 million gain on the Series A debt we repurchased. Looking forward, the first quarter interest expense will include approximately $165 million of accelerated FSA debt discount on the $2.5 billion of Series A debt John just mentioned that we're redeeming in the first quarter. After these redemptions, we will have roughly $4 billion of Series A debt outstanding, with approximately $450 million of related FSA discount. Remember, all of our 7% notes are callable at par. Total assets increased over $45 billion, reflecting growth in the Commercial portfolio and a slight increase in cash and investments due to the timing of our debt actions. Total financing and leasing assets declined about $300 million, as roughly $900 million of growth in the Commercial portfolio was offset by $1.2 billion of contraction in our student loan portfolio. The Commercial growth resulted from funded new business of $2.9 billion, which exceeded the collection and depreciation cost of $1.5 billion, and assets that -- asset sales were roughly $1 billion -- or $0.5 billion. New finance -- net finance margin, excluding FSA and prepayment penalties, was 207 basis points, up about 50 basis points sequentially. Lower funding cost continued to be the most significant driver of this improvement, accounting for about 30 basis points of the sequential change as our average interest rate on debt and deposits improved to about 4.7% at year-end. Pre-FSA asset yields increased in the fourth quarter, benefiting from interest recoveries and corporate finance that totaled about $20 million. Overall, I would characterized core asset yield as fairly stable, and I'd also note that margin continues to benefit from suspended depreciation on equipment designated at held for sale. Remember, that benefit is largely offset in other income as we write down the value of the equipment held for sale to lower cost or market. Other income was $209 million, down from the third quarter on lower gains and higher impairments on assets held for sale, primarily centerbeam railcars and student loans. However, non-spread revenue was very strong in Corporate Finance, where we had significant gains on asset sales and unusually high fee and other income related to favorable resolutions of written down assets in held for sale. As John mentioned, credit metrics continue to improve as charge-offs, nonaccrual loans and inflows to nonaccruals were down from prior periods. These positive trends are reflected in the provision. While the allowance decreased modestly to $408 million, it increased as a percentage of finance receivables to 2.05%. Reserve coverage against our commercial receivables at year-end was 2.7%, and we still have some non-accretable discount. And finally, operating expenses were $221 million and included a $5 million facility-related restructuring charge. This is down slightly from the third quarter, reflecting lower compensation and benefit cost. Remember, FICA restarts in January, and we will be making our second annual grant of equity awards in February. The equity awards are expensed over 3 years, so we'll have some pressure on run rate compensation expense until we reach a more steady state in 2013. Getting into the segment results and focusing on sequential trends. Corporate Finance pretax income increased to $168 million and benefited from a few large items. First, we entered into an agreement to sell a portfolio of loans, about 80% of which are nonaccrual. It is a multiphase sale, about 30% closed in the fourth quarter and the -- and most of the remainder closed yesterday. These loans were written down through charge-offs and fresh-start accounting so our carrying value, approximately $200 million, is relatively low compared to the unpaid principal balance. We recorded a gain on sale of about $50 million in the first quarter tranche and expect additional gains in the first quarter. Non-spread revenue also benefited from the favorable resolution of written-down assets and held for sale and investment gains. As I mentioned earlier, margin benefited from interest recoveries. Corporate Finance's operating fundamentals continue to be solid. New business volume remained strong, with committed volume up 10% and funded volume up 40% sequentially. During 2011, Corporate Finance assets in the bank more than doubled to $2.7 billion while the legacy portfolio at the parent declined nearly 40% to $4.4 billion, with much of the net portfolio collections at the parent being used to pay down high-cost debt. New business deals were slightly up on average, but the market remains bifurcated, with continued pricing pressure on traditional retail ABL and stability in cash flow loans. Finally, credit quality was strong with minimal net charge-offs and further declines on nonaccrual balances. Trade Finance pretax income was down slightly to $9 million, primarily due to lower factoring commissions. Factoring volume showed a normal seasonal increase, rising 2% from the third quarter to $6.9 billion. Annual growth is also 2%, excluding the German factoring operation, which is being wound down. The decline in commission dollars reflect lower surcharges, reduced recoveries of suspended income and changes in the mix of client factoring volume. Overall, portfolio quality is solid, and we remain very disciplined and proactive with respect to managing our exposures. Transportation Finance pretax income of $24 million was negatively impacted by a roughly $20 million fair market -- fair value market recorded in other income, stemming from the decision to transfer most of our off-lease centerbeam railcars to held for sale. Otherwise, fourth quarter operating trends in Transportation Finance were good. Finance and leasing assets were up $1 billion with 7% sequential growth in lease equipment and 10% growth in loans, with all the loans originated by CIT Bank. Equipment growth was primarily in aerospace. As John mentioned, we grew the fleet by 11 aircraft. We added 15 aircraft between scheduled deliveries and spot purchases and sold 4 aircraft during the quarter. Net rental income increased reflecting the higher asset level and the portfolio lease yields were fairly stable with improvements in rail, mitigated by a slight compression in aerospace. Equipment utilization remained strong with only one aircraft on the ground, and railcar utilization improved to over 97%. Looking forward, all of our scheduled 2012 aircraft and over 85% of our railcar deliveries are already placed. And we continue to make progress funding our equipment as we execute over $1 billion of secured financings against aircraft and railcars in the fourth quarter and started to take delivery of railcars in the bank, as John mentioned. Finally, Vendor Finance also had a good quarter and generated $33 million of pretax income. Finance and leasing assets grew sequentially to $5 billion. Asset quality was very good. Net charge-offs were less than $2 million, benefiting from continued high recoveries, and nonaccrual balances continue to decline. However, non-spread revenue decreased, reflecting lower gain on sales. We continue to mark down the value of equipment held for sale, about $20 million in the quarter, as I previously discussed, is when we cease depreciation of the -- cease depreciating these assets in the margin line, so the net impact is minimal. New business deals were generally stable, and the U.S. volume originated by CIT Bank has a net finance margin in excess of 6% and solid double-digit ROEs. And volume trends continue to be strong, up over 10% globally on both the sequential and year-over-year basis. In fact, the increase is almost 30% year-over-year, excluding platform sales. Moving on to funding. We continue to make progress transitioning our liability profile. In addition to addressing the Series A debt, we accessed nearly $3 billion of funding in the quarter, and we did that in a challenging capital market environment. We generated $1.7 billion from our secured borrowing facilities, including $1.1 billion from the Goldman TRS facility, as we utilized the available capacity within that structure. This has economic benefits because the facility's marginal cost of borrowing is LIBOR flat. More specifically, this include a new $600 million railcar securitization, which provided very attractive funding for this asset class and generated cash that was used in the January debt paydown, and we proactively restructured a $500 million student-lending securitization. We also funded $375 million of aircraft via existing facilities and additional $150 million into our Trade Finance conduit, both at attractive rates. We continued making progress at CIT Bank. We raised $1.3 billion of deposits in the fourth quarter at an average cost of 160 basis points and an average term of 3 years, including deposits from our online bank and other initiatives. Liquidity and capital ratios at both the bank and bank holding company remained strong. We had $8.4 billion of total cash and investments at year-end and another $1.9 billion of undrawn capacity within our $2 billion bank revolver. Cash was up from the prior period as we were anticipating the repayment of the Series A debt. We were also able to reduce the restricted and operating subsidiary cash balances as we continue to increase operating efficiency. And the total capital ratio at the holding company was 19% and the Tier 1 leverage ratio at the bank was 25%. I'm proud of what we have accomplished with respect to the funding over the last 2 years. Since the beginning of 2010 and including the $500 million of Series A redemptions in February, we have eliminated or refinanced about $18 billion of debt. We lowered our funding cost, improved our funding flexibility and are well positioned to execute the balance of our liability restructuring roadmap. In closing, our top funding priorities for 2012 are, as John mentioned: eliminating the remaining $4 billion of Series A debt, which will substantially unencumber the balance sheet; and further growing and diversifying the funding capabilities at CIT Bank. With that, I'll turn it back to Lacey, and we'll take your questions.
Operator: [Operator Instructions] And our first question will come from the line of Mark DeVries with Barclays Capital.
Mark C. DeVries - Barclays Capital, Research Division: With the $2.2 billion of student loans transferred to held for sale and $2.5 billion of cash already in the bank, what type of organic volume growth are you expecting and -- or is this some type of preparation for portfolio acquisition?
Scott T. Parker: I think timing of kind of some of the student loan sales we did in the fourth quarter were based on kind of attractive transactions, and so those are kind of ones that we thought were a good -- safe to do. But again, as you see the volume as we talked about growing into the bank, we think that, that liquidity will help us in regards to the first half volume that we predict in the bank.
Mark C. DeVries - Barclays Capital, Research Division: Okay. And was the impairment on the loans that you transferred to held for sale roughly $45 million?
Scott T. Parker: For in total?
Mark C. DeVries - Barclays Capital, Research Division: Yes.
Scott T. Parker: No. I think the impairments in total that we had -- for the held for sale, yes. So if you take out the $20 million for the Vendor equipment, then, yes, it'd be around $45 million. I think it was like $70 million, so total impairment.
Operator: Our next question will come from the line of Moshe Orenbuch with Crédit Suisse.
Moshe Orenbuch - Crédit Suisse AG, Research Division: As you kind of think about the repayment of the $4 billion, is there -- I mean, should we think about that coming from cash generated? Is there a yield on new liabilities that we should think about as replacing that? Then I've got a follow-up.
Scott T. Parker: I think it's going to be multiple ways in order to address that. I think there is cash generation at the parent company as we have some of the legacy assets run off. We continue to execute on secured financings, as I mentioned. And if there's the opportunity to issue new Series C, we would think that would be attractive, too. In regards to expectations for rates, I think that's all subject to market. I think the cash is pretty easy. The secured financing, we've been doing at attractive rates, and then the capital markets would be, again, based on what the market was at that time.
Moshe Orenbuch - Crédit Suisse AG, Research Division: And just to shift gears for a second. The -- you mentioned 40 deals kind of in Corporate Finance. I'm assuming those were generally originated as opposed to kind of going out and buying a portfolio of assets, I mean, if that's in fact correct. And then kind of -- could you talk a little bit about your appetite for purchasing of portfolios?
Scott T. Parker: Yes. I think the 40 that John mentioned were ones that we originated. It wasn't portfolio acquisitions. In regards to the second part of the question about if there are attractive portfolios, as John and I have mentioned several times, if they make economic sense, we'd be -- that would be of interest to us.
Operator: And our next question will come from the line of Chris Brendler with Stifel.
Christopher Brendler - Stifel, Nicolaus & Co., Inc., Research Division: Can we just talk about maybe in terms of the capital initiatives you might have for this year on the funding side? From my indications, it looks like the bonds and new issues that you did in the last year has traded fairly well into a significant premium in the aftermarket. And as you grind towards a 5% cost of funding, do you have any time line for when you might -- probably to access the fixed income markets again, given the benefit you'll get from paying off the Series A?
Scott T. Parker: Yes, Chris. I mean, we're always watching the markets. And so if there's a timing that works and we can execute a trade, we would do that.
Christopher Brendler - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then on deposit growth, the Internet bank is at $600 million, and this thing just launched, I think, in October. Is it fair to say that it accelerated as the quarter went through and then the $600 million may not necessarily be the run rate that we should expect; it could actually go higher from there?
John A. Thain: Well, I think the way to think about it is it did just start in October, and so there is a certain amount of getting up to speed and a certain amount of just education in terms of getting our name out into the marketplace. I think we said before that the -- we believe that we can raise substantial amounts of deposits on the Internet, and you can look at some of our other competitors who have done that in the multibillions of dollars. When we have as much cash as we do have in the bank, as well as the student loans, there's not much pressure for us to try to push to raise too many more deposits right at the moment.
Christopher Brendler - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then final question on the factoring business. It came in a little lighter than I was expecting as that business continues to be not recovering as fast as I would have hoped. Is some of that just the German wind down? You did kind of call that out this quarter. It would have been up 2%, I think, year-over-year and sequentially without the German wind down. But still, is competition the issue there or is it the economy? What's going on in factoring? And can we expect to see sort of more of the same in 2012 or is there any signs of progress?
John A. Thain: I think the factoring business pretty much follows retail sales. And if you look at retail sales, they were up 2% to 3%. It obviously depends a little bit on the what type of retailer we're talking about. But in general, the volumes are going to follow retail sales, and I think they're pretty consistent with what -- where we see retail sales going, which are kind of growing 2%, 3%.
Operator: Our next question comes from the line of Brad Ball with Evercore.
Bradley G. Ball - Evercore Partners Inc., Research Division: Yes. Scott, the gain on sale of the nonaccruals in the quarter, should we expect that same sort of magnitude in the sale that you said was just completed?
Scott T. Parker: No. We -- our expectation would be -- is it'd be similar to the percent that we had on the first trade.
Bradley G. Ball - Evercore Partners Inc., Research Division: And the amount that you sold in the trade during the fourth quarter, that was $60 million. Is that correct?
Scott T. Parker: Yes, yes. For the assets?
Bradley G. Ball - Evercore Partners Inc., Research Division: Yes.
Scott T. Parker: Correct.
Bradley G. Ball - Evercore Partners Inc., Research Division: Okay. And you've got $215 million, I think, that were to be sold here this quarter or you said just sold?
Scott T. Parker: Yes. The majority of the assets that were in held for sale were part of this transaction. There's couple other smaller assets in there.
Bradley G. Ball - Evercore Partners Inc., Research Division: Yes. You said 80%.
Scott T. Parker: Yes.
Bradley G. Ball - Evercore Partners Inc., Research Division: Okay, good. And then on asset quality, so your Corporate Finance net charge-offs have come in better than what you've talked about as a long-term target, the 75 to 100 basis points. I think you were in the low 60s this quarter. Should we expect to see continuing improvement trends, or is that going to be choppy? Is there much still in the way of credit leverage? The provision did come in lower than we expected this quarter.
Scott T. Parker: I think I would say -- you used the word choppy. I think in the Corporate Finance, that's kind of a little bit more event driven in regards to particular companies. We're on the vendor side, and the trade side is little bit more on a flow basis. So I would say that the long-term targets that we kind of set out there was over -- kind of a cycle and kind of good economic environments. So I think we are happy where we are, but there could be some movement around in regards to quarter-to-quarter what those charge-off numbers are.
John A. Thain: Yes. I think I would reinforce what you said, which is I wouldn't expect there to be much more credit leverage.
Bradley G. Ball - Evercore Partners Inc., Research Division: Okay, great. And just -- do you actually target a reserve ratio, or is that just something that falls out?
Scott T. Parker: It falls out of our analysis. So it's based on type of asset originated and many other historical factors. So there's no target. It kind of -- it's based on mix of business and also type of business we do.
Operator: And our next question will come from the line of David Hochstim with Buckingham Research.
David S. Hochstim - Buckingham Research Group, Inc.: Could you just remind us how much you have in rail delivery scheduled for this year and, I think, maybe next year? And so at the end of maybe next year, what percentage of the rail portfolio could be in the bank?
Scott T. Parker: It's -- our -- we have a couple hundred million dollars of, I think, expected deliveries in 2012.
David S. Hochstim - Buckingham Research Group, Inc.: And those would all go in the bank?
Scott T. Parker: We would hope.
David S. Hochstim - Buckingham Research Group, Inc.: Okay. And then can you just expand on your comments about the pricing trends in Corporate Finance? Just give us a sense of how it changed from Q3 to Q4.
Scott T. Parker: Yes. I think the cash flow, middle market cash flow, I think, kind of retained -- kind of stayed stable maybe slightly better than third quarter. And as I mentioned on the asset-based kind of lending business, especially on the retail side, is under pretty good competition and pressure in regards to pricing there. So it's one that we're watching pretty closely.
David S. Hochstim - Buckingham Research Group, Inc.: And so what would -- could you give us a sense of what pricing would be like now or?
Scott T. Parker: It kind of -- it depends on -- within ABL, there's kind of, what we'd call, more of the retail, which is kind of very much receivables and inventory, and then you can also go up to different asset collateral that probably have higher pricing because of the not as liquid per se. So I'd say there's pricing, and the retail could be in the 200 to 250. And stuff that we're kind of looking at is more in the kind of 300 kind of range in regards to the ABL.
David S. Hochstim - Buckingham Research Group, Inc.: Okay. And then just give us an update on the prospects for getting through the stress test and being able to return some of your excess capital if you decided not to buy assets.
Scott T. Parker: Yes. So as we've mentioned before, we continue to -- we weren't one of the banks that was required to submit a CCAR in 2012, but we continue to do an annual capital plan. And so we continue to invest and do all the analysis to be compliant with CCAR during 2012.
David S. Hochstim - Buckingham Research Group, Inc.: And so when the written agreement is finally resolved, does that mean you'd be -- you'd have some flexibility under your capital plan and you get approval for repayment?
Scott T. Parker: I think as John mentioned last time, I don't think there should be expectations for 2012. I think our plan would be to do our capital plan as part of the 2013 submission and see where that goes.
David S. Hochstim - Buckingham Research Group, Inc.: Okay. And then just finally, do you the have any exposure to AMR?
Scott T. Parker: It's not something we have kind of mentioned in any of our kind of disclosures, but it's insignificant.
Operator: Our next question will come from the line of Henry Coffey with Sterne Agee.
Henry J. Coffey - Sterne Agee & Leach Inc., Research Division: As you look at Europe, you pulled back a lot. In Germany, you cleaned up Vendor. Can you kind of quantify for us what are the sort of the risks and the opportunities with your exposure to the European zone, which obviously probably presents a mix of both, and maybe comment on what you're doing on other international fronts?
John A. Thain: Let me start on that. So we have relatively little exposure to Europe right now. We have no exposure to European sovereign debt. We do have small amounts of Vendor Finance business in Europe. And I'm going to exclude the aircraft right now, because airplanes, they fly all over the place. So we do have airplanes leased to European carriers. But in terms of our Corporate Finance and our Vendor Finance business, it's -- our exposure to Europe is relatively small. I think that, frankly, is an opportunity for us that we're looking at. We're seeing the European banks, particularly the French banks, really pulling back from those businesses, putting out large portfolios for sale. So that's a place where we're looking at to see what kind of opportunity there might be for us. Other parts of the world, our business in Latin America, particularly Mexico and Brazil, is growing, and our business in China is also growing. So we see good growth opportunities in the Latin America, South America and in Asia, particularly China.
Henry J. Coffey - Sterne Agee & Leach Inc., Research Division: Now we've talked a lot about portfolio purchases, John. What about just new business origination in Europe? Would you do that with the existing platform, or would you need to sort of expand that business -- those business units?
John A. Thain: No. We have the ability to do that with our existing platform. It is still small. So our business in Europe is small, and I think the outlook for the European economy is not particularly positive. But right now, there's no need to expand the platforms.
Operator: And our next question will come from the line of Bill Carcache with Nomura.
Bill Carcache - Nomura Securities Co. Ltd., Research Division: Can you give us a sense of -- for your funded new business volumes, what portion is coming from refinancings versus expansion and new growth opportunities that your customers are seeking?
Scott T. Parker: I think probably have to talk a little bit about each business unit. So I would say most -- in the Corporate Finance portfolio, I think in general, refinancing is kind of roughly 1/3, little bit more, maybe up to 1/2 depending on the segment you have. In regards to kind of refinancing and vendor equipment, it's kind of -- I guess it's kind of replenishment, right. So it's kind of upgrading or buying new equipment versus, I guess, a refinancing. And so on an aircraft and things like that, I think it's self-explanatory what that is.
Bill Carcache - Nomura Securities Co. Ltd., Research Division: All right. Okay, that's helpful. And you mentioned the equity award grant in February. Can you help us understand how to think about that in terms of the impact on operating expenses? And also along those lines, just trying to understand, it looks like there's a decrease in reported book value, but you had positive earnings. So it looks like there might be something going on in OCI. Can you just talk about what's happening there?
Scott T. Parker: Okay. Well, I'll start with the last one and kind of work back. I think you had few. But it is a change in OCI, and it relates to kind of our pension plans. And so as you kind of are aware in regards to what's happening with some of the predictions for asset returns as well as discount rates, given the low interest rate environment, our assumptions for those were updated based on market information at year-end and caused a reduction in our equity through OCI for those plans. In regards to, I guess, you had operating expenses and equity grants, so I think the way to think about that is, I think, as others have been talking about the equity grants as a proportion of incentive compensation, so that's -- what we tried to explain is that each year, you kind of grant that you're going to, until you get to the third year, at steady state. So I think 2012, we will see some increase in that compensation absent any other actions we take.
John A. Thain: So the RSUs we've been using are 3-year vesting, and so they vest over a 3-year period. And we've only given them out for 2 years. So it takes one more year to kind of get up to steady state.
Operator: Your next question will come from the line of John Stilmar with SunTrust.
John W. Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Just really quickly, you had talked about the growth opportunities in Latin America and Asia, and it's certainly been a reoccurring theme. I was wondering if you might be able to put a little bit of a finer point, at least in terms of the magnitude of the balance sheet today or some kind of measure as we can kind of gauge the progress of where we were to where we are today as -- or just relative benchmark. That would be appreciated.
Scott T. Parker: Well, we -- I would say that as we -- I think I talked about last earnings call that the volume is growing very -- at higher rates than we have in the U.S. On the assets, we're coming off lower amounts. But we think that based on kind of what we're seeing, that they -- it's kind of representing close to half the volume we're doing internationally, or half the volume we're doing in Vendor is going to be international. So I think we see that, that trend continues. And then the assets are a little bit more skewed to the U.S. based on our kind of legacy portfolio. So I'd say on the asset side, it's probably more -- kind of currently more 60%, 65% U.S. versus international.
John W. Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Perfect. And then I was just wondering if we could just walk through the marginal yields across your different asset classes, just at a high level, Vendor, Transportation and then your Corporate Finance business, if we could just kind of blend things together. I know we've kind of danced around the topic on some earlier questions. I was wondering if you had the statistics there. Just on a cash-base yield, how we should be thinking about these returns because like -- I mean, some of it is refinancing -- obviously, we're in a lower interest rate and a little bit more competitive environment, but you seem to find some competitive niches that banks don't. I was wondering if you saw pricing pressure or pricing stability, and I was wondering if you could quantify that for us as we kind of walk through what the yields are in each one of these major businesses.
Scott T. Parker: Well, all I would kind of mention on that one, it's a difficult kind of question to answer in general because of the kind of where we are on the debt side, right. So what we've kind of continued to talk about is if you look at the new business that we're originating, both the Corporate Finance business, as well as the Vendor business in the U.S. bank -- or the U.S. -- the Corporate Finance and the Vendor business in the U.S. bank, we're originating at the long-term targets that we had set out. So we feel good about those. I think on the new deliveries that we're taking on aircraft, between the secured financings and cash generated from the portfolio, we think that those are also kind of aligned -- along the lines of our long-term targets. So in general, the new business we're originating, we're looking at that to kind of be in those parameters. And then looking at the legacy portfolio is a little bit more difficult to do that until we kind of refinance some of the debt. I hope that helps you.
Operator: [Operator Instructions] And our next question will come from the line of Ken Bruce with Bank of America Merrill Lynch.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Hoping you might be able to give us an update on commercial real estate lending activities, how that group is forming, what your target asset class would look like and any volume trends that you can give us, please.
John A. Thain: Sure. So as you know from the prior calls, we hired a group from Bank of Ireland, so they came intact. They're actively pursuing new opportunities. We actually have one loan that they've made. It's relatively small. And we believe that they will originate very attractive opportunities over the course of the next few years. Just to give you an idea, I mean, they're – they've built a portfolio of a little over $1 billion from the period of 2007 to 2010 while they were Bank of Ireland, which portfolio actually got sold at a premium to par. So they have a good track record, and we're optimistic that they're going to be a significant contributor going forward.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Great. I look forward on hearing the updates on that. And, Scott, I -- sorry, I missed your earlier comment on the pricing on the middle-market cash flow loans. Directionally, is that up, down, sideways?
Scott T. Parker: It's fairly stable, but we saw a little bit of upward pricing versus third quarter.
Operator: And at this time, I show that we have no further questions in queue. I would like to turn the call back over to management for any closing remarks.
Kenneth A. Brause: Okay. Well, we thank you all for joining us this morning. And if you have any additional follow-ups later in the day, I and the rest of the IR team will be available to take your questions. Thank you very much.
Operator: Thank you for your participation in today's conference. This concludes your presentation. You may now disconnect. Good day, everyone.